Erik Engstrom: Good morning, everybody. Thank you for taking the time to join us today. As you may have seen from our press release this morning, we delivered strong financial results in 2024 to make further operational and strategic progress. Underlying revenue growth was 7%. Underlying adjusted operating profit growth was 10%. Adjusted earnings per share growth was 9% at constant currency. And we are proposing a 7% increase in the pound sterling full year dividend. All four business areas continue to perform well. And on this chart, you can also see the relative sizes of the segments within each business area. In Risk, underlying revenue growth was 8% and underlying adjusted operating profit growth was 9%. Strong growth continues to be driven across segments by our deeply embedded AI-enabled analytics and decision tools with over 90% of divisional revenue coming from machine-to-machine interactions. Business Services continue to be driven by Financial Crime Compliance and Digital Fraud & Identity Solutions with strong new sales. Insurance was driven by further extension of solution sets across markets, continued positive market factors and new sales. Specialized Industry Data Services was led by Commodity Intelligence, and Government continue to be driven by analytics and decision tools. Going forward, we expect continued strong underlying revenue growth with underlying adjusted operating profit growth slightly exceeding underlying revenue growth. In STM, underlying revenue growth was 4% and underlying adjusted operating profit growth was 5%. Growth continued to be driven by the development of analytics and further evolution of the business mix, with higher growth segments representing an increasing proportion of divisional revenue and remaining print shrinking at a faster pace than historical averages. Databases, Tools & Electronic Reference was driven by further development and rollout of higher value-add analytics and decision tools. Primary Research was driven by volume growth. The number of articles submitted continued to grow very strongly across the portfolio by over 20%, and the number of articles published grew by 15%. Going forward, we expect continued good underlying revenue growth, with underlying adjusted operating profit growth slightly exceeding underlying revenue growth. In Legal, underlying revenue growth improved further to 7%, up from 6% last year, driven by the continued shift in business mix towards higher-value legal analytics. Underlying adjusted operating profit growth was ahead of underlying revenue growth at 9% as we continue to manage cost growth below revenue growth. Lexis+, our integrated platform, leveraging extractive AI, continued to perform well. And Lexis+ AI, leveraging generative, made good progress in the U.S. and in international markets. ProtÃ©gÃ©, our recently launched next-generation generative AI legal assistant, which we demonstrated in our legal seminar last October, has been positively received by our customers. Going forward, we expect continued strong underlying revenue growth with underlying adjusted operating profit growth exceeding underlying revenue growth. Exhibitions delivered underlying revenue growth of 11%, reflecting the improved growth profile of our event portfolio and the favorable first half comparison to the prior year. We continue to make good progress with our growing range of value-enhancing digital tools and the improvement in profitability reflects the structurally lower cost base. Going forward, we expect strong underlying revenue growth with an improvement in adjusted operating margin over the prior full year. Our strategic direction is unchanged. Our improving long-term growth trajectory continues to be driven by the ongoing shift in business mix towards higher growth analytics and decision tools that deliver enhanced value to our customers. Our growth objectives remain, for Risk, to sustain strong long-term growth in the current range; for both STM and Legal, to continue on the improving growth trajectory; and for Exhibitions, to continue on the improved long-term growth profile. When combined with our strategy of driving continuous process innovation to manage cost growth below revenue growth, the result is a higher growth profile with improving returns. I will now hand over to Nick Luff, our CFO, who will talk you through our results in more detail. I'll be back afterwards for a quick wrap-up and Q&A.
Nicholas Luff: Thank you, Erik. Good morning, everyone. Let me start by providing more detail on the group financials. As Erik said, underlying revenue growth was 7% with underlying adjusted operating profit growth ahead of that at 10%. As a result, the adjusted operating margin improved by just under 1 percentage point to 33.9%. The improved operating result flowed through to adjusted earnings per share, which at constant currency increased by 9%. Cash conversion was again strong at 97%, contributing to a reduction in leverage to 1.8x, slightly below our typical range. Given the strong overall performance, we are proposing an increase in the full year dividend of 7% to 63p per share. Our acquisition spend was slightly below our normal range with GBP 195 million on five acquisitions, and we made seven disposals with aggregate consideration of GBP 95 million, and we deployed GBP 1 billion on share buybacks. Looking at revenue, you can see here the drivers of the overall 7% underlying growth. Continued strong growth in Risk, good growth in STM, strong growth with a further pickup in Legal and strong growth in Exhibitions. Electronic revenue, representing 83% of the total, saw 7% underlying growth with the strong growth in face-to-face activity offsetting the effects of the print decline. Total revenue growth at constant currency for the group was 6%, with the impact of disposals more than offsetting acquisitions and the benefit from 2024 being a cycling in year for Exhibitions. In sterling, total revenue growth was 3%, impacted by the relative strength of sterling against the dollar and the euro in particular. Here you can see the 10% underlying growth in group adjusted operating profit. We continue to manage cost growth below revenue growth in each business area. As a result, Risk, STM and Legal each delivered underlying profit growth 1 or 2 percentage points ahead of underlying revenue growth. Exhibitions delivered very strong underlying profit growth, reflecting the increase in activity levels in the first half as well as the structurally lower cost base. Portfolio effects were a slight drag, leaving total growth in constant currency at 9%. There was a similar currency effect on profit as there was on revenue giving adjusted operating profit growth in sterling at 6%. With profit growth ahead of revenue growth, margins improved across all four business areas, driving the overall improvement of 80 basis points to 33.9%. Margins were up by 60 basis points in Risk, 40 in STM and 50 in Legal. Exhibitions margins saw a further significant improvement by 250 basis points and are now well ahead of pre-pandemic levels. Turning to the group adjusted income statement. You can see here the underlying growth of 7% in revenue and 10% in operating profit. The interest expense was slightly lower with a slightly lower effective interest rate and some currency benefit. That left profit before tax up 11% at constant currency and up 7% in sterling. The effective tax rate was 22.5%, up from the prior year, which had the benefit of some nonrecurring tax credits. Net profit was up 8% at constant currency and up 4% in sterling to just over GBP 2.2 billion. With a lower share count as a result of the share buyback program, adjusted earnings per share were up 9% at constant currency and up 5% in sterling to 120.1p. Turning to cash flow. Cash conversion was 97%, similar to last year. EBITDA was over GBP 3.7 billion, and CapEx was GBP 484 million, equating to 5% of revenue. After interest and tax, total free cash flow was over GBP 2.1 billion. And here's how we deployed that free cash flow. We completed 5 small acquisitions for a total consideration of GBP 195 million, the most significant of which was the Henchman technology business in Legal, which brings enhanced functionality to the ProtÃ©gÃ© offering. In December, we announced the acquisition of IDVerse, an ID document verification platform for Business Services and Risk. Completion is expected in the first quarter of this year. We also made 7 small disposals in 2024 for aggregate consideration of GBP 95 million. Dividend payments were GBP 1.1 billion. And as I mentioned earlier, we completed GBP 1 billion of share buybacks. Overall, year-end net debt increased slightly to just under GBP 6.6 billion. However, with the increased EBITDA, leverage fell 1.8x. Our priorities for use of cash remain unchanged. Organic development is our #1 priority with CapEx consistently around 5% of revenues. We augment that organic development with selective acquisitions with the level of spend typically being the most significant variable in our uses of cash, depending on the opportunities that arise. Average acquisition spend over both the last 5 and 10 years has been around GBP 400 million, with 2024 a below average year. We pay out around half of our adjusted earnings in dividends, and have increased the dividend every year for well over a decade. Leverage defined as net debt to EBITDA, has typically been in the 2.0 to 2.5x range. Strong cash generation, improving EBITDA and modest acquisition spend in the year and the leverage at the end of 2024 was below that typical range at 1.8x. We continue to return our surplus capital through the share buyback with GBP 1.5 billion of spend announced today for 2025, of which GBP 150 million has already been deployed. With that, I will hand you back to Erik.
Erik Engstrom: Thank you, Nick. Just to summarize what we have covered this morning. In 2024, we delivered strong financial results, and we made further operational and strategic progress. Going forward, we continue to see positive momentum across the group and we expect another year of strong underlying growth in revenue and adjusted operating profit as well as strong growth in adjusted earnings per share on a constant currency basis. And with that, I think we're ready to go to questions.
Operator: [Operator Instructions] The first question comes from George Webb with Morgan Stanley.
George Webb: I'll kick off with a couple of financial questions, if I can. Firstly, just on the buyback that you kind of mentioned, given the bump curve, GBP 1.5 billion in 2025, seems somewhat noticeable maybe from a messaging perspective, and I appreciate you've laid out the cash priorities. It seems like this year, the dividend plus the buyback could exceed kind of free cash flow generation. So if you could just talk a little bit about, is there a message behind that? Is this a new platform GBP 1.5 billion that maybe you can run at an increase from going forward? Secondly, just on the working capital of the business, kind of curious where you're seeing the working capital builds over the last couple of years? I think it's about GBP 150 million out in 2024, GBP 115 million out in 2023. So whether that's segments or more broadly, where is that being driven from?
Nicholas Luff: Yes, George, I'll take those. Look, I think on the buyback, obviously, with growing EBITDA, as you know, if you're going to maintain leverage, you have to have shareholder returns that exceed free cash flow after acquisition spend. So with a relatively low acquisition spend that just gives us more surplus capital, which is reflected in the buyback. And obviously, last year was in net only -- actually spend of only GBP 100 million because not only was it a below average year on the acquisition front but we were more proactive on the disposal side. So that overall organic drive of shifting the business mix towards high-value analytics, our ability to accelerate that organically is obviously key, but we're more proactive on the disposal front as well. So you're seeing that coming through in the overall structural growth profile of the group, and you're seeing that come through in the cash flows and hence, in the buyback. And your second one on working capital, I mean, no particular swings in there. Remember, we have -- it's GBP 3 or GBP 4 billion of assets in the working capital and the GBP 3 billion or GBP 4 billion of liabilities. It's a net negative working capital position that we always operate in, but you do see swings from year-to-year. Obviously, as Exhibitions has ramped back up to full activity levels, there have been some working capital swings in there, but there's nothing systematic in that. And overall, you can see the cash conversion still in the high 90s.
Operator: The next question comes from Adam Berlin with UBS.
Adam Berlin: I just wanted to ask a few questions on STM, if I could. The first question is, you talked last year, the print declines in STM were above market -- normal level or normal speed. What's the trend in the first kind of 6 weeks of 2025, any improvement in that? Or is it still going to be a big drag in 2025 as well? My second question was there's been quite a noise in the White House around Trump defunding various federal agencies, including some of the agencies that fund research. Can you just talk about the timelines of that? Like, how long does it take for that to have an impact on the amount of research being funded, research produced in the U.S.? And is it something you're worried about at all? And then my third question is, I think Erik mentioned in his presentation that article submissions over 20%, published articles growing over 15%. It's amazing after COVID that these trends have been sustained. Can you just explain what you think is going on? Are you taking share from kind of poor quality journals or is it just higher overall research funding, it's just something that's really surprising that 4 years after COVID we're still seeing this level of growth.
Erik Engstrom: Well, I'll do my best to try to answer these. First of all, the print decline. As you know, the #1 strategic priority for the company is to drive the improving long-term growth rate of the company through higher value-add analytics and decision tools and to create a business mix shift towards those higher value add, higher growth segments. And this is particularly present still in STM, where we're focusing most of our time at the top end improvement as we've talked about many times, but we're also trying to be more proactive on the bottom end, which means that we're trying to move faster out of the print segment on an organic basis, and we're also doing some more disposals of some noncore portfolios at the bottom end, as Nick mentioned. But that's a good thing, and it's what we're trying to drive strategically, but it also has the side effect of in the short term, slightly higher than historical print declines. So what we have seen are print drag. We've seen that now for the last -- it's probably a couple of years where it's been above average, historically. And it's hard to tell what's going to happen looking 1 year out because the beginning of the year is not the main driver of that, that tends to build throughout the year and the heavier print periods are during the summer and then towards the end of the year. So I don't know what's going to happen during 2025. But the one thing we're 100% certain of is that over time, the print segment is going to shrink down to be very small and the print drag is basically ultimately going away. And that's what we're driving towards strategically. On research funding, I think it's important to point out that we've been in the scientific research publishing business now for over 200 years, and we have customers in 180 countries. And we've seen quite a few changes in the world economy in -- we've seen quite a few elections and changes in government and funding levels. And our objective is basically to continue to serve that industry throughout all those changes no matter what happens. And we think we can continue to do so successfully. But the main driver of growth in the research publishing business is the volume growth, which is driven by the number of researchers first and foremost, and then by the global growth in research spend, and that tends to cut across time periods and across regions and funding areas. What exactly will happen with the funding of specific U.S. research agencies, it's very hard for us to have an opinion on it. But direct funding from U.S. government on our research articles is a low single-digit percent basically. So we don't focus much on what that timeline will be or how that could flow through because these cycles have always come and gone over many, many years. The last question was article growth. And as I said, this is the main driver in the long term of the growth of the STM division, and it has continued to be very strong. During COVID and post-COVID, there's a bit of a time shift that you accurately pointed out. But now I think what happened last year was more of an issue of volume flowing a little more than usual to the higher quality tiers of journals. I mean we have around 3,000 journals, and they're mostly positioned in the upper quartile of quality of journals. So if there is a little bit of uncertainty, a little bit more attention being paid to the question on scientific fraud or research fraud, people tend to migrate towards the larger, high-quality providers. And our objective is always to try to be higher quality than the other major providers, better technology platform and technology tools than the other majors, but still operate at least the same or even better value or pricing equation for our customers. So therefore, we're trying to make sure that we're always positioned that way. And if we do that right, that means we should gradually seek out slightly improved share in the higher tiers over time. I personally believe that the submission growth rates to us are going to normalize relatively soon and that over the next 5 years or 10 years, we'll likely get back to an average of submission growth to us in the high single digits in a typical year. But that's a personal opinion. I can't tell you any direct mathematical evidence that that's happening. At this point in time, it's continuing to grow strongly. But I would expect that to moderate over time.
Operator: The next question comes from Nick Dempsey with Barclays.
Nick Dempsey: I've got three left, please. So first of all, just sticking with STM, we've seen a few U.K. universities that have chosen to drop the big deal as they are struggling financially. As to Adam's question, we know a few universities in the U.S. are likely to be seeing some financial hardship if some of these cuts to the funding go through. So I'm wondering whether there are financial difficulties at the universities in other countries? And whether you are seeing an uptick in universities looking to drop the big deal? I know if it's a few of them, it won't make a difference, but I'm wondering if it's a trend. The second question. You've talked about Exhibitions being able to achieve better organic revenue growth than in the past on a permanent basis. And it sounds like you'll remain confident on that. Do you think that Exhibitions can also deliver more margin improvement than in the past on the back of that higher growth as a permanent effect? Third question, just on ProtÃ©gÃ©. Can you talk about how the take-up of this product should logically flow into numbers and you encourage lots of customers to start taking this up even if their subscription is not up for renewal, but jump in mid subscription? And will you get firms taking it up for the whole firm? Or are you seeing kind of early adopter department, therefore, it flows in a bit more gradual?
Erik Engstrom: Yes. On your first question, the STM side, every year, there are some customers somewhere in the world that are going through financial difficulties. And as I said before, we've been in this business for over 200 years. We always try to work directly with any one institution to figure out what's the best way for us to serve them and help them reach their objectives. We have not seen a specific trend break or any change in the overall numbers, given that we serve, order of magnitude, 15,000 institutions around the world. There are always some every year that are going through difficulties. We will work with those, but we have not seen a trend change, and we have not seen any volume of people going in one direction or the other. The long-term trends are very clear that our customers tend to be taking larger and larger shares of what we serve them, and they also tend to have more and complex combinations of services in their agreements with us, whether that involves portions of pay-to-read and pay-to-publish and other types of things that we can offer them. So the bottom line on it is there's no trend break. We're continuing to see strong growth. Number two, on Exhibitions. Yes, everything we have seen so far indicates that the exhibition business, the way we now operate it and the way we're now building organic growth initiatives into it, that this should be a higher value add and higher organic growth business going forward than it was pre-COVID. And as you said, yes, it is also definitely a much higher margin business than it was before COVID. We're already at significantly higher margins than we were before. And because the way we have now structured the business, the way we run the business, there should be a larger gap between the organic revenue growth, the underlying revenue growth and the underlying cost growth, there should be a wider gap between that than we had before, and therefore, that on a 2-year basis because we have cycling, the margin should continue to increase every year, but over time, also increase at a faster pace than it did before COVID. On the last point on ProtÃ©gÃ©. This was launched commercially now a couple of weeks ago. And we're literally in the early days of this. We have had several customers sign up already and opt in, but it's very early in that process. We get very positive feedback. We get very positive user feedback. A lot of customers are very interested, but it's too early to tell how the actual adoption curve will develop. I mean, as I've said before, the Lexis+ and Lexis+ AI curve have gone very well, and we updated you on that at our seminar in October, but it's really still too early to talk about ProtÃ©gÃ© other than it's been a very positive launch.
Operator: The next question comes from Sami Kassab with BNP Paribas.
Sami Kassab: Three questions as well, please. The first one is on Legal. How much of the acceleration in Legal from 6% to 7% was driven by GenAI products versus older legal analytics products that are still ramping up and driving growth? In other words, is the GenAI-driven acceleration still ahead of us? Secondly, on STM, in November '22 at the STM Investor Day, the message was growth will accelerate. It has not accelerated in '23. It has not accelerated in '24. Share price has gone up. PE has gone up. Given the mix shift, given [ India ], given the article volume growth you're talking about, do you think STM organic revenue growth can accelerate to 5% in '25? And lastly, on Exhibitions. You sold out of Austria last December. Have you identified other markets or other verticals you would consider exiting from?
Erik Engstrom: I'll ask Nick to cover question -- the first question on the Legal growth rate impact as well as the Exhibitions side. But maybe I'll first focus on STM. Yes, it's very clear to us and probably clear to you that the growth objective for STM is to continue to improve the underlying growth rate, and we believe that our strategy of changing the business mix shift will drive that. Number one, because the faster growth, higher value-add segments become a larger proportion of the division; and number two, because when we add the higher value-add tools and analytics on top of the existing databases on tools, customers tend to see more value, therefore, want more and spend more. So that the absolute growth rate in that segment should over time continue to improve. At the same time, part of this acceleration is to reduce the print drag at the bottom. And as we're driving to get to that endpoint of a much higher growth business over time, we're trying to drive it there faster. That means that in that transition, the print drag is higher during that time period, which is why you have not seen a further acceleration in the divisional growth rate in the last 2 years. Whether that is going to come through in 2025 or later, that depends quite a bit on the trajectory of the relatively transactional and unpredictable lumpy print tail that's left and we're trying to get out of it faster, which might mean that it continues to drag a bit. But over time, we're confident that this is a business that is moving towards a higher underlying long-term growth trajectory, just like the other divisions.
Nicholas Luff: Sami, your question on the Legal growth. Obviously, every year, the growth in our businesses and the growth in Legal is driven by new product introduction, increased adoption of those products by our customers. In Legal's case, greater adoption of legal analytics. So clearly, in 2024, Lexis+ AI was an important component of that new product introduction that you see coming through. Lexis+ was still being rolled out. Increased adoption was still coming through, but Lexis+ AI was an important component. Obviously, we're continuing to innovate. And we've talked about on this call. ProtÃ©gÃ© is the next-generation product. So you'll keep seeing that going forward. And your question on Exhibitions. Yes, we have sold out of our Austrian business. It was a slightly different business, we've had some sand building in it, had some venue management in it, so it's slightly different. I'm sure there are other small things that will continue to -- things don't offer the same growth opportunity and the fit in the portfolio going forward. But that was -- together with the other things we sold last year, they did aggregate the disposal out of acquisitions are about 5% of the revenue base, of which generally sort of 1% really has affected 2024. So you'll see more of that come through in '25, but I'm sure there'll be other things in the future, but maybe not quite as big as that all in 1 year, which is perhaps a bit unusual.
Operator: The next question comes from Henry Hayden with Redburn Atlantic.
Henry Hayden: Three questions, if I may. Just first on risk. It was nice to see kind of an uptick in margin expansion for 2024. I was curious as to how we should think about the balance between margin expansion in that division and organic growth going forward? And where should we expect the contribution from new products to go from the current levels? The second one is on costs. So other data and analytics companies that we cover have been talking about rising cloud costs impacting their margin outlook. And I was just wondering what this means for RELX, how much of cloud costs as a percentage of your total operating expense and will this be a headwind to margins as you continue this mix shift towards analytics tools? And then finally, just on STM. I was wondering if we could get an update on kind of the state of adoption for analytics tools in that division, both with and without AI overlays, how you see the growth profile of those products going forward? And should we, alongside that expect more investment in that division?
Erik Engstrom: Well, I'll take the first and the third now and I'll let Nick to cover the second question. So in Risk, the contribution from new product first, as you've probably seen on the 24 slides, we have those at the back in the appendix, I think, on the presentation, what many people refer to as the green-orange slide. Well, you can see that the contribution from new product launches and the rollout of recently introduced products continued to be the main driver of growth in Risk and it continues to stay at the strong levels it has been now for many years. And in addition, of course, the markets are growing, and we are seeing increased adoption and growth rate in our mature products as well, which is the other segment on that. But I expect that to continue. We're very focused here on maintaining a very strong pipeline of new developments of higher value-add tools that are then being introduced and rolled out, and we're seeing strong new sales of those tools across Risk. So I think that's an organic innovation machine that's continuing to run very well. On the second question on that or the first part of your risk question, how do we look at the margin versus growth? We don't see it as a trade-off. Our number one priority in Risk is the organic development of the new high value-add tools and the people working on building and launching and rolling out those tools are 100% focused on that. And they do as much of that as they can handle and as our customers can introduce and adopt and rollout. Separately, we run our cost base. And the people running our cost base do as much as they can to manage process innovation and leveraging new technologies to do everything they can to manage their cost growth below revenue growth. So everything we do all the time in the Risk division should be better, faster and cheaper every single year all the time forever. And that's really a separate initiative, but equally important to our business. So we don't see there's a real trade-off of margin versus growth, but we have guided again to the fact that our cost growth, we are going to continue to manage our cost growth in Risk to be slightly below our revenue growth. So all else being equal, on the portfolio side, you're likely to continue to see a slight increase eking up on a like-for-like margin each year over time.
Nicholas Luff: And Henry, your question on cloud costs. I mean they're relatively small both to our overall cost base actually. And clearly, we have been increasing our spend with the cloud providers over the last 2 years, but that has been as we shifted out of our own data centers. So net-net, that's clearly been a significant cost saving and an efficiency. And now as we go forward, we're continually finding ways of making our use of cloud more efficient, our use of the large language models more efficient. And we're clearly putting more volume through as we introduce new products and so on, but we're finding efficiency savings as we do that. And clearly also, we're using the things that we're developing in the cloud, not just in our products, but also internally. We're using AI, generative AI and AI more broadly internally to help make ourselves more efficient, so those cost initiatives that Erik referred to. So notwithstanding the fact that spend in cloud has increased but I think overall, we continue to be confident that we can keep managing cost growth below revenue growth as we continue to invest in the new product introduction soon.
Erik Engstrom: So on the third question, STM analytics decision tools, we have this segment in there that we refer to as databases and tools, which is, as we've said, becoming a larger and larger portion of it because our customers see the value, we get increased adoption across the global customer base, and they tend to inherently grow faster. That is before we have done any significant step-up on what we consider the newer generative AI-based tools, many of the analytics and decision tools that we have been selling for several years have components of what we call extractive AI machine learning contributions to the algorithms and that's been well received and growing well and continuing to grow well from our customers. During 2024, we also saw the commercial launch of three different generative AI-based tools during the year, but they've only been out a few months, and there is not a lot of history of using these kind of tools in those subsegments. And therefore, as it's relatively early days, our customer base in STM are historically customers that take slightly longer to work themselves through the sales cycle and also have different regulatory and other scientific and compliance constrains on how they need to verify and test new tools before they install them and roll them out. So we're seeing slightly longer sales cycles there than we've seen on the generative AI tools in Legal. But we have launched three what I consider main GenAI-based commercial introductions during 2024. There will be more to come in 2025.
Operator: The next question comes from Steve Liechti with Deutsche Numis.
Steven Craig Liechti: Just a few questions. Just on STM. Would you mind giving us the hard revenue breakdown numbers that you've given previously at these results figures? You mentioned a couple of times, for instance, database and tools. What kind of percentage is that now in fiscal '24? And secondly, I just wanted to just clarify your low single-digit figure that you said for U.S. government. Can you just clarify exactly what that figure is in terms of direct spend? And then give us any kind of clues in terms of U.S. spend of total global research budgets? And if you have a government figure within that, and Google tells me the overall U.S. is about 30%. Just some clarification there. And then finally, on Events, the second half like-for-like revenue, if my calculation is correct, is about 6%, just double checking that number? And also just trying to work out whether that's a sort of a reasonable number to extrapolate the growth into fiscal '25 and '26 on a normalized basis?
Erik Engstrom: Let me look at those. Maybe I'll do them in reverse order here. I'll start with the RX. As you know, there's seasonality as well as rounding and timing, different industries at different time of the year, different exhibitions, different time of the year. So I'm not sure you can do the math exactly that way. But I think you should look at it this way that before COVID, Exhibitions had an underlying like-for-like growth rate of 5% to 6%, and our objective is to make sure that we operate that with slightly higher underlying revenue growth on an annual basis going forward. So that will give you an indication of where we think we are on our annualized run rate at this moment. The second question -- let's look at -- well, let's look at the first one first, the easy one. The hard breakdown of the numbers. Broadly speaking, in STM, the numbers that we've given to you before, we had them during 2024, can only move a fraction of a percent each year. So basically, you have database tools and electronic reference, by the time you add them up together, it's around 40% of the division, other mid-single-digit percentage sort of corporate primary research, about 45% of the division is primary research, academic and government. And now we're down to about 9% sort of print and other face-to-face related. So it's pretty much those numbers within 0.5 point or 1 point or so. When it comes to U.S. spend, Well, the numbers I gave were sort of direct spend and direct spend with us, which also tends to mirror a little bit their portion of the articles that we publish and so on. It's in that range that we mentioned. There are so many other ways to measure research spend in the world and its impact that I don't want to get into the definition of global research spend. We tend to be a very international company. We operate historically across countries, we operate on multi-country funding, we operate with -- an average article published through us has 5 to 6 authors often across borders. And we tend to have slightly higher market share in newer, faster-growing economies than we have in older, established economies in Europe and the U.S. So I don't want to try to get into the global research spend allocation between countries.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Erik Engstrom for any closing remarks.
Erik Engstrom: Thank you very much for joining us on the call this morning. I very much look forward to talking to you again soon.